Operator: Greetings, and welcome to the TrueBlue Second Quarter 2025 Earnings Call. [Operator Instructions] As a reminder, this conference is being recorded. At this time, I want to remind everyone that today's call and slide presentation contain forward-looking statements, all of which are subject to risks and uncertainties, and management assumes no obligation to update or revise any forward-looking statements. These risks and uncertainties, some of which are described in today's press release and SEC filings, could cause actual results to differ materially from those in the forward-looking statements. Management uses non-GAAP measures when presenting financial results. You are encouraged to review the non-GAAP reconciliations in today's earnings release or at trueblue.com under the Investor Relations section for a complete understanding of these terms and their purpose. Any comparisons made today are based on a comparison to the same period in the prior year unless otherwise stated. Lastly, a copy of the company's prepared remarks will be provided on TrueBlue's investor website at the conclusion of today's call, and a full transcript and audio replay will be available soon after the call. It is now my pleasure to turn the call over to Taryn Owen, President and Chief Executive Officer.
Taryn R. Owen: Thank you, operator, and welcome, everyone, to today's call. I am joined by our Chief Financial Officer, Carl Schweihs. Before we turn to the financials, I'd like to take a few minutes to discuss TrueBlue's current market position and the actions we've taken to strengthen the company during this prolonged industry downturn. We have viewed this as a period of opportunity to create long- term competitive advantage and drive market share gains early by leaning into our core differentiators. We've been deliberate in streamlining operations and positioning TrueBlue to lead as the labor market evolves, expanding into high-growth, underpenetrated end markets with secular tailwinds, increasing our mix of skilled and professional roles, accelerating our digital transformation, diversifying revenue streams, and eliminating nonessential costs. So who is TrueBlue today? We're a leading provider of digitally enabled specialized workforce solutions that seamlessly connect employers and talent with precision and scale. Backed by decades of experience, we deliver total workforce solutions across recruitment, attraction, assessment and workforce management. We help clients improve workforce quality, streamline operations and meet evolving talent demands. We partner with over 55,000 customers and more than 300,000 workers annually. As an extension of our clients, we bring operational insight, local market expertise and disciplined execution to help solve complex workforce challenges. Our extensive national footprint includes approximately 500 branches, hundreds of on-site locations and tens of thousands of client work sites, enabled by a digital reach that spans every corner of the U.S. from major cities to small and rural communities. We tailor our solution to each client's footprint and operating model with extensive end market presence and delivery flexibility supported by a full spectrum offering and an expansive talent network. Our award-winning RPO capabilities further extend our reach across the globe, and we've strategically expanded our total addressable market from roughly $45 billion to $90 billion and growing, with our recent acquisition of health care staffing professionals. While the market itself is highly fragmented, TrueBlue stands out in its ability to serve both large national accounts and local businesses and is trusted by clients to deliver consistent high-quality results. We've proven ourselves as industry innovators, developing a suite of proprietary digital platforms that lead the industry in user experience, engagement and operational efficiency. Our digital ecosystem powered by data and intelligent agent frameworks creates a durable competitive advantage that extends the reach of our digital-first staffing and recruitment solutions, supporting scalable growth, cost efficiency and margin expansion. We've advanced a robust innovation pipeline focused on integrating responsible AI into our platform strategies to transform how we attract, engage and deploy talent. Our ability to deliver digitally enabled total workforce solutions spanning staffing, RPO, talent advisory and more uniquely positions us to serve as a single strategic partner across the entire workforce life cycle. And by aligning talent, technology and data-driven engagement across our portfolio, we unlock cross-selling opportunities, better meet evolving client needs and drive profitable growth. The high free cash flow nature of our business, paired with a limited CapEx profile further enables us to pursue future growth opportunities. Our competitive offering and positioning are clear and well differentiated. Now let's turn to our strategic plan for delivering greater shareholder value over time. Our strategy is anchored in our key priorities to accelerate our digital transformation, grow our share in high-growth end markets and attractive skilled trades and professional talent segments and optimize our sales function to accelerate growth and capture demand, all while maintaining operational excellence to deliver efficiencies and long-term profitability. Together, these priorities position TrueBlue well in today's environment and to capitalize on long-term secular trends to deliver sustained growth over time. We've also proactively implemented targeted cost reductions to improve efficiency, expand margins and enhance profitability. We have simplified our organizational structure through the divestiture of our Canadian operations, streamlined global leadership and removed structural inefficiencies. Altogether, these actions have delivered approximately $90 million in permanent SG&A savings from our 2022 base, creating durable cost leverage and enabling strong incremental margin expansion as revenue recovers. But we haven't simply cut costs and waited for conditions to improve. Drawing on our decades of experience and data-driven insights, we've identified high potential areas for long-term sustainable growth and while maintaining our strong balance sheet, have strategically invested to position TrueBlue ahead of secular tailwinds. We've made significant progress in optimizing our sales function to accelerate growth and capture demand as the market rebounds. This includes a full reorganization of our sales model, decoupling sales from operations and transitioning to a territory-based go-to- market structure that empowers integrated local leadership and enhances client focus, disciplined execution and productivity. We've expanded field sales capacity in high-priority markets and rolled out localized enablement strategies and territory-specific campaigns to improve market relevance and activation. We deployed Salesforce CRM across our field organization, improving pipeline visibility, territory coordination and proactive sales execution. As part of our broader commercial strategy, we've launched an enterprise-wide strategic partnership program to unlock new client acquisition channels and deepen enterprise client relationships. A key example of this is our recently announced partnership with OMNIA Partners, one of the largest group purchasing organizations in the U.S. This relationship has opened access to a broad high- value member network and is fueling a growing pipeline of multi-brand opportunities across our portfolio. As we continue to diversify and scale our business, we're expanding into high-growth, underpenetrated end markets aligned to secular demand trends. Already a leader in U.S. industrial and skilled trade staffing, we're well positioned to support manufacturing reshoring and help address structural labor shortages. A strong example is our commercial driver business, which continues to outperform, delivering its fourth consecutive quarter of double-digit revenue growth. We're also expanding our presence in the energy sector, where ongoing infrastructure investment is fueling sustained demand for skilled labor. Through our acquisition of HSP, TrueBlue has established a strong foothold in health care, one of the fastest-growing and most resilient sectors of the labor market. Health care continues to benefit from strong macro drivers, including an aging population, increased patient volumes and persistent labor shortages. HSP not only expands our client base and revenue streams but also brings deep expertise in compliance and clinician management, capabilities we are well positioned to scale. With early traction, we believe TrueBlue is ideally equipped to serve the health care industry with the same blend of technology, service and national reach that drives success in our core verticals. We're also expanding our presence in professional roles by broadening our RPO solution to deliver higher skilled, higher value placements. Over the past year, we've grown our mix of RPO services in sectors such as health care, engineering and technology, driven by both new client wins and account expansion. In 2024, we achieved an 8% increase in the number of clients engaging us for professional roles and a 29% increase in the number of IT-related hires, reinforcing our position in this expanding segment. As we look ahead, deepening our footprint across these high-value roles remains a key strategic priority. The digital transformation of our business has been essential to delivering faster, more precise and transparent workforce solutions. We've embedded AI-powered job matching, predictive analytics and behavioral insights across the talent life cycle to enable journey- based personalization that improves responsiveness while prompting timely action, whether that's placing an order, extending a contract or accepting a role. Combined with our existing market presence and deep industry expertise, these innovations position TrueBlue to deliver smarter, more personalized experience, driving reliability, profitability and long-term competitive advantage. Our ability to execute on this strategy is underpinned by the strength and experience of our leadership team. With decades of relevant industry knowledge and direct operational expertise, our executive team brings hands-on leadership to every facet of the business. Now turning towards the quarter. We are encouraged to see positive momentum with double-digit growth for our skilled businesses, overall signs of stabilization and a return to company-wide growth expected in the third quarter. We are confident that the cost actions we have taken position us well to drive even stronger profitability as industry demand expands. I will now pass the call over to Carl, who will share further details around our financial results and outlook.
Carl R. Schweihs: Thank you, Taryn. Total revenue for the quarter was $396 million, flat to the prior year and near the low end of our outlook range as uncertainty and client caution continue to weigh on the staffing industry. Included in these results is 4 percentage points of growth driven by our recent acquisition of HSP. As expected, temporary labor and permanent hiring volumes remain suppressed with clients navigating an unpredictable business landscape and staying cautious around business spend. While overall market demand was soft, we are capitalizing on growing markets and leveraging our deep expertise to create additional opportunities for growth. For example, as Taryn mentioned, our skilled businesses delivered double-digit growth for the quarter, and our on-site team recently secured one of its largest single site wins with a multinational e-commerce client. Gross margin was 23.6% for the quarter, down 280 basis points. The primary driver of the decline was changes in revenue mix with more favorable trends in our lower-margin PeopleManagement businesses and PeopleReady renewable energy work. As a reminder, renewable energy work carries a lower gross margin than the general PeopleReady business due to the pass-through travel costs involved. Certain software depreciation now being reported in cost of services also contributed to the margin decline. Keep in mind, software depreciation is noncash and excluded from our EBITDA and adjusted EBITDA calculations. We successfully reduced SG&A by 7%, largely outpacing the organic revenue decline and demonstrating our continued commitment to maintain cost discipline and enhance our profitability. We recognized the COVID-19 government subsidy benefit during the quarter, but since we reported a similar benefit in the prior year, it had no meaningful impact on the year-over-year decline. The real driver is our continued focus on the areas we can control to not only align with current market dynamics but also create greater flexibility to scale. We have made significant progress simplifying our cost structure and creating efficiencies, which will drive enhanced profitability as industry demand rebounds. We reported a net loss of $0.2 million for this quarter, which included a noncash intangible asset impairment charge of $0.2 million as well as a small amount of income tax expense primarily associated with our foreign operations and essentially 0 income tax benefit on U.S. operations due to the valuation allowance in effect on our U.S. deferred tax assets. As a reminder, these charges have no impact on our operations, liquidity or debt covenants. Adjusted net loss was $2 million, while adjusted EBITDA was $3 million. Now let's turn to our segments. PeopleReady revenue declined 5%, driven by reduced client volumes across most verticals and geographies. While overall market demand remains soft, our skilled businesses grew double digits for the quarter due to the healthy project ramp and minimal schedule disruptions. We are also encouraged to see improved on-demand trends in 2 of our largest states with results in California and Florida indicating growing momentum as we exited the quarter. PeopleReady segment profit margin was up 50 basis points, largely driven by cost actions to deliver efficiencies and greater scalability. PeopleManagement grew for the second consecutive quarter, with revenue up 2%. This growth was driven by strong results from our commercial drivers business, which delivered its fourth consecutive quarter of double-digit growth. While On-site client volumes declined for the quarter, continued strength in new business wins and customer expansions is generating solid momentum as we enter the back half of the year. PeopleManagement segment profit margin was up 50 basis points as our disciplined cost management actions continue to drive improved efficiencies. PeopleSolutions revenue grew 20%, with HSP performing in line with expectations and contributing 40 percentage points of inorganic growth, offsetting the segment's organic decline of 20%. Also included in these results is 9 percentage points of decline from the client loss we discussed in previous quarters. Overall, hiring volumes remain subdued as clients face evolving market conditions and uncertainty around their workforce needs, but our teams are doing a great job helping existing customers navigate these labor dynamics and adding new clients to our portfolio, especially in high-value professional roles in attractive end markets. Our strong client relationships position us well to drive further revenue expansion as customers' hiring volumes return. PeopleSolutions segment profit margin was down 320 basis points due to the lower operating leverage as revenue declined. Now let's turn to the balance sheet. We finished the quarter with $22 million in cash, $54 million of debt and $79 million of borrowing availability, resulting in total liquidity of $101 million. During the quarter, $15 million of workers' compensation collateral was released, and we reduced our debt position by $4 million while increasing working capital by $14 million as we maintain a very focused and balanced capital strategy. We continue to manage a strong liquidity position, providing us with great flexibility and ensuring we are well positioned as market demand rebounds. Turning to our outlook for the third quarter. We expect revenue growth of 5% to 11% year-over-year. This includes 4 percentage points of growth from the acquisition of HSP. Our outlook reflects a continuation of current market trends because while there are some green shoots and early signs of improvement, the broader business landscape remains unpredictable. Also keep in mind, given the seasonality of our business, we typically see our highest volumes in the second half of the year, corresponding with improved operating leverage and bolstered by our lean cost structure that we expect to drive additional margin improvement as we move through the year. Additional information on our outlook can be found in our earnings presentation shared on our website today. Before we open up the call for questions, I want to turn it back over to Taryn for some closing remarks.
Taryn R. Owen: Thank you, Carl. As you have heard from us today, our TrueBlue team has a proven track record of increasing market share and revenue through skilled and geographic expansion and a growing opportunity to accelerate impact through cross-portfolio solutions, sales function optimization and tech-driven innovation. We have a clear strategy that positions us to drive long-term sustainable value well aligned to secular tailwinds and an approximately $90 billion global total addressable market. Our leadership team and talented employees are energized by the opportunities ahead as we position TrueBlue for margin expansion and an outsized share of industry growth. This concludes our prepared remarks. Operator, please open the call now for questions.
Operator: [Operator Instructions] And our first question comes from Jeff Silber with BMO Capital Markets.
Jeffrey Marc Silber: I was hoping you can give us a little bit more color on monthly trends in terms of how they tracked over the past few months, including into the current quarter. And I think, Carl, you talked about some green shoots. Maybe we can get a little bit more color there as well.
Taryn R. Owen: Jeff, thanks for the question. We're very encouraged by the momentum that we're seeing across the business, 3 particular areas: one, double-digit growth for our skilled businesses, overall signs of stabilization and a return to company-wide growth expected in the third quarter. Beyond that, we're confident that the cost actions we've taken during this downturn combined with our strategic focus will position us well to drive even stronger profitability as the industry demand returns.
Carl R. Schweihs: Yes. And then, Jeff, I can cover some of those inter-quarter trends there. So PeopleReady saw low single-digit weekly sequential revenue growth throughout the quarter, which was driven by our skilled businesses. Just to put this in perspective, PeopleReady exited Q1 at minus 8% and exited Q2 at minus 3%. Our monthly trends were kind of minus 8% in April and minus 3% as we work through the month. We're also very encouraged by the trends in July. PeopleReady returned to growth in July, and our weekly trends are in line with our outlook for the quarter. I think Taryn covered some of those green shoots in there as well. I'd just add in, as we said in the prepared remarks, too, our commercial driver services continues to do well for us in its fourth consecutive quarter of double-digit revenue growth as well.
Jeffrey Marc Silber: I appreciate the color. If I could switch gears a bit, since you last reported, the company received an unsolicited buyout offer from HireQuest. I know your Board quickly rejected that. But can you talk about the reasons underlying that decision? And have you had any discussions with HireQuest since that time?
Taryn R. Owen: Yes. We'll refer you, Jeff, to our public disclosures regarding HireQuest, but do be assured that our Board is focused on maximizing value for our shareholders and will consider any approach to doing so. The team has done a tremendous amount of work to position TrueBlue to take advantage of the strongest market drivers as the industry recovers, and we will continue to act in the best interest of our shareholders.
Operator: Your next question comes from Kartik Mehta with Northcoast Research.
Kartik Mehta: Taryn, you talked a little bit about third quarter being a positive quarter, seeing growth for the overall company. And I think, Carl, you talked about PeopleReady seeing some positive momentum in July. And I'm wondering, do you finally think we're at a point where now the company can sustain some revenue growth? Or is there anything unique happening in the third quarter, which would make you cautious?
Taryn R. Owen: Thank you for the question, Kartik. We're really encouraged with the momentum that we're seeing here coming into the third quarter and the signs of overall stabilization. So I would just say, overall, that stabilization is really encouraging to us. And we're seeing that same momentum and returning to growth among our clients, too. Our teams are focused on securing new wins and expansions, all good signs that customers are beginning to experience this positive momentum as well. As always, we stay very close to our clients and monitor industry trends, which are changing constantly in today's environment. I would say as far as an inflection point, customers continue to look for more certainty to feel more confident planning their workforce needs, and our best indicator is when clients say they need our help. So we're staying highly engaged to ensure that we're well positioned for that rebound.
Kartik Mehta: And then just any type of pricing competition? I think the last quarter, you talked a little bit about some pricing competition. I'm wondering how that's trended this quarter.
Carl R. Schweihs: Yes. Thanks for the question, Kartik. Look, we do always kind of see some pricing conversations, especially at this time in the market. But we are really encouraged. From a bill rate, pay rate spread, we saw pay rates up 1.2% in the quarter, bill rates up 1.8%, so returning to growth. That led to about a 10 bps improvement in margin. So I'd just say while there's still the pricing pressure that we would expect in this environment, we've been really disciplined with our pricing, and we continue to be watchful to ensure we don't, one, price ourselves out of the market and hamper our ability to continue to rebound quickly when the market does rebound. But I think that's an encouraging sign, especially with the growth that we're seeing.
Taryn R. Owen: And Kartik, if I could add as it relates to pricing, one of the new features that we enabled in our JobStack platform is where a customer can now receive a quote when placing a new order directly in the tool. And this is early days. We just launched this feature in June. But at this point, nearly 100% of the price quotes that have been offered through the tool have been accepted and ultimately resulted in an order since the launch of this feature. So that's encouraging. We're really excited about that new functionality and the fact that customers are buying based on the price that they're being given.
Operator: [Operator Instructions] Your next question comes from Mark Marcon with Baird.
Mark Steven Marcon: First one is just the monthly trends, could we get that for PeopleManagement and for PeopleSolutions exclusive of the acquisition?
Carl R. Schweihs: Yes. Let me get through that. So I gave you kind of -- let me just go back to PeopleReady was kind of minus 8%, minus 3% and 3%. When we look at our PeopleScout, that was pretty similar to what we reported for the quarter. And then PeopleManagement, also kind of continued trends, so kind of plus 3%, plus 4%, flattish in June and then returning to growth here in July as well.
Mark Steven Marcon: Great. And are there any regional differences that you're seeing? Any differences between Cali versus Texas versus Florida?
Carl R. Schweihs: Yes. As I said in kind of prepared remarks, Mark, I mean, look, if you just think about our largest geographic opportunities, it's going to be California, Florida, Texas. We did see improved trends in Florida and California during the quarter, which is encouraging. And we've also -- we've been seeing Texas do better than kind of what we've reported at a segment level as well. The only other thing maybe just to call out is even in a tight kind of manufacturing and construction market, we saw those kind of industries from an end market see a small improvement from Q1 to Q2 as well. But nothing else to call out from an end market other than just the general kind of improving trends as we move through the quarter.
Mark Steven Marcon: Great. And then can you talk a little bit about what you're seeing in the renewable business and energy broadly speaking, so clean energy versus energy in general? And then any sort of changes passed -- since the Big Beautiful Bill passed?
Taryn R. Owen: Mark, thank you for the question. In regards to the Big Beautiful Bill as it relates to energy, it does officially roll back or sunset the key IRA incentives by 2027, reducing policy support for clean energy. With that being said, our renewable pipeline remains very, very strong. In the second quarter, we signed multiple new deals encompassing multiyear projects, and so we've continued to see really strong performance there and a strong pipeline. Beyond that, you may recall that one area of focus for us is to grow in the energy sector beyond renewable. Particularly we're very focused on solar and large kind of utility scale projects. And we do have some nice potential for expansion across all TrueBlue brands into additional energy end markets such as commercial solar, full-scale energy and then nonrenewable sources like oil and gas. And I'm happy to report that we had wins in energy across all of our segments in Q2, so we are gaining some nice momentum there.
Carl R. Schweihs: Yes. And Mark, just to add on to that, look, I mean, we've got a decade of experience here on energy as an end market, not just renewables, and it continues to be about 10% of our portfolio and feel really good. We don't think the energy usage here in the U.S. is going down anytime soon. So feel good about that opportunity as we move forward.
Operator: Your next question comes from Marc Riddick with Sidoti & Company.
Marc Frye Riddick: So you actually touched on a couple of things already, but I wanted to circle back. You made mention kind of about the -- some new features being introduced. And maybe you could talk a little bit about some of the opportunities that you see there, either new features on JobStack that have just been rolled out or that you're planning to roll out and client receptivity and how that's -- and how much that fuels the optimism of organic growth expectations.
Taryn R. Owen: Absolutely. Thanks for the question, Marc. We are really excited to have our own proprietary JobStack app that allows us to control the road map and really quickly address the feedback that we hear from our customers. And our road map is really focused on delivering a better experience for our customers. I talked about that ability for them to receive a quote and place an order in the app. That has been very well received, also helping us to improve our sales effectiveness and increasing operational efficiency. So those are the 3 areas of, I would say, focus in our road map. In addition to the pricing estimate, we've talked a little bit about the PeopleReady matching technology, which helps match the job requirements with a pool of reliable candidates, qualified workers and really makes it easy for our customers to invite the best workers to the jobs. Our fill rates at PeopleReady are at an all-time high. And part of that is that matching technology that we have in JobStack. I will point, though, to a nice example where we recently secured a win with a project in a remote location with a large food services customer that's over 3 hours from our nearest branch. And so our JobStack platform has really allowed us to be able to deliver that far away from a branch and help us meet our customer needs in that way. So I would just say all of those road map features are continuing to enhance our ability to serve customers like that.
Marc Frye Riddick: Great. And then I was wondering if we could talk a little bit about maybe your thoughts and views on candidate availability and the skill availability out there and that's changed much since the beginning of the year or if you're seeing any pockets that might be worth calling out there.
Taryn R. Owen: Yes. I would say that there hasn't been a significant change in terms of the candidate availability. Our fill rates still remain high. One area that I'll point to that the team has done a really nice job, we've talked about the expansion of our skilled businesses, and that is where there is, I would say, tighter candidate availability. There are a couple of things that we're doing in the organization to help that. First, we have a workup program that provides skill development opportunities for workers that allow them to build careers and skilled trades and also it helps us expand our talent pool. And then secondly, our apprenticeship program provides opportunities for people with minimal experience to build careers, particularly in energy that helps add to that talent pool and ensure that we're able to meet our clients' needs.
Marc Frye Riddick: Okay. And do you get a sense that the amount of folks that are taking these opportunities, these apprenticeship type opportunities, has that changed much during the year? Or are you seeing an influx of new folks? Or is it similar to maybe what you've seen historically?
Taryn R. Owen: I would say it's similar.
Operator: And ladies and gentlemen, there are no further questions at this time, so I'll hand the floor back to Taryn Owen for closing remarks.
Taryn R. Owen: Thank you, operator, and thank you, everyone, for joining us today. I do want to take an opportunity to thank the entire TrueBlue team for their resilience and dedication to providing our customers and associates with exceptional service as well as their commitment to advancing our mission to connect people and work. We do look forward to speaking with you all at upcoming investor events and on our next quarterly call. If you have questions, please don't hesitate to reach out. Thank you.
Operator: This concludes today's conference. All parties may disconnect. Have a good day.